Operator: Ladies and gentlemen, welcome to the Holcim Half Year 2025 Results Analyst and Investor Conference Call and Live Webcast. I am Sandra, the Chorus Call operator. [Operator Instructions] The conference is being recorded. The presentation will be followed by a Q&A session. [Operator Instructions] The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Bernd Pomrehn, Group Head of Investor Relations. Please go ahead.
Bernd Pomrehn: Good morning, everyone. I'm pleased to be here with our CEO, Miljan Gutovic; and our CFO, Steffen Kindler. They will provide an overview of our strong first half year 2025 results. Then, we'll provide an update on our strategy and last but not least, we'll give an outlook for the full year 2025. And with this very short intro, I'm already handing it over to Miljan. Miljan, please.
Miljan Gutovic: Thank you, Bernd. Good morning to all of you, and a warm welcome to Holcim's half year results. Steffen and I are pleased to be presenting our earnings to you today. And of course, there will be time afterwards for your questions. To start with, we will walk you through the business review, followed by a strategy update and of course, as Bernd mentioned, 2025 guidance. First, let's look at the first half business review. We had a really strong first half of 2025. Highlights include, as you can see, robust net sales growth, strong overproportional recurring EBIT growth across all our regions and of course, industry-leading margin of 18.3%. Our margin expansion was driven by our high-value strategy. This includes scaling up our sustainable offering and also accelerating decarbonization and circular construction to drive profitable growth. Another key driver is value-accretive M&A. Since the start of this year, we have closed a further 11 transactions focused on the most attractive markets and most attractive segments. Thanks to our deeply embedded performance culture and value creation, we are delivering superior performance, including more than 7% rise in earnings per share or EPS in Swiss francs. Yes, we are committed. We are committed to our strong investment- grade balance sheet, which gives us financial flexibility and also the ability to continue to invest in profitable growth and attractive shareholders' returns. Our guidance for full year 2025 is in line with our NextGen Growth 2030 targets. And this includes a recurring EBIT growth of 6% to 10% in local currency with a recurring EBIT margin of above 18%. I'll share more on our guidance later on. Turning to our regional highlights now. Europe once again delivered strong margin expansion, driven by our high-value strategy, our sustainable offering as well as decarbonization and circular construction. M&A momentum was excellent with another 8 value- accretive acquisitions closed since the start of the year in 5 countries. Demand for our sustainable offering is expected to continue to drive earnings momentum. On the outlook, the residential market is showing signs of recovery, and we also have a very robust infrastructure project pipeline in Europe, including projects like 17 kilometers long second Gotthard road tunnel here in Switzerland. In LatAm, we had another strong performance with strong net sales and recurring EBIT growth, and we also completed 2 value- accretive acquisitions in Peru and in Argentina. We are accelerating the expansion of the Disensa, which is the largest construction materials retail franchise in the region with around 170 additional stores opened in H1. And we expect the strong performance to continue with Ecuador and Central America and recently acquired businesses driving growth in H2. In Mexico, there is also a very strong pipeline of infrastructure projects. Moving to Asia, Middle East and Africa. This region delivered a double-digit increase in recurring EBIT and outstanding margin expansion of 200 basis points, led by strong domestic demand in North Africa. We expect continued demand there to continue to drive our earnings along with a positive outlook in Australia and expected positive price momentum in China. With that, I would like to hand it over to Steffen to talk through the financials in more details. Steffen?
Steffen Kindler: Thank you, Miljan, and a warm welcome to all of you also from my side. It's a pleasure to be here with you today, as always. Looking first at the net sales bridge, you can see that organic growth of 1.4% was the main contributor. The contributions from acquisitions exceeded the impact of divestments with net acquisitions adding another 0.4% for a total 1.8% rise in local currency. The foreign exchange effect was negative CHF 330 million or 4.1%. In the first half, we delivered double-digit growth in recurring EBIT. The continued focus on a high-value strategy resulted in almost 11% growth in local currency and 3% growth in Swiss francs. The foreign exchange headwinds here were almost CHF 110 million or 7.7%. Next, let's look at the progression of our recurring EBIT and recurring EBIT margin on a rolling 12 months basis. This graph shows that we have consistently expanded both our 12-month rolling recurring EBIT margin and our rolling recurring EBIT. We're now well above CHF 2.8 billion. As Miljan said earlier, this is driven by our high-value strategy from scaling up our advanced sustainable offering, accelerating decarbonization and circularity initiatives down to a value-accretive M&A with focus on the most attractive markets and our empowered leadership with a strong performance culture. All of Holcim's regions produced strong recurring EBIT growth in local currency in the first half, with Europe and Latin America up more than 6% each and Asia, Middle East and Africa up double digit. Both Miljan and I have previously mentioned our deeply embedded performance culture and disciplined financial management. This is what ultimately drives our growth of our earnings per share, or EPS, which is up 7.4% in Swiss francs from 12 months ago. You can also see that by all the various different measures of the bottom line, we are producing strong profitable growth. Next, you can see the evolution of our free cash flow in the first half, which is on track to reach around CHF 2 billion by the end of this year. Remember that cash flow is very seasonal and depends to a certain degree on the timing of payments at the end of periods, as you can see here, for example, in working capital and in taxes paid. Our net debt leverage ratio was 1.2x at the end of last year, and we expect to close out 2025 at around 1.1x. This is what we guided to at the Investor Day in March and remain committed to a healthy balance sheet and a net debt leverage of below 1.5x over the long term. This will provide Holcim with sufficient financial flexibility, the ability to navigate all economic cycles while continuing to invest in profitable growth and attractive shareholder remuneration. Now I would like to come back to something else we discussed at our Investor Day in March and which has come up in almost every investor meeting since then. So a short reminder, the execution of our NextGen Growth 2030 strategy will provide Holcim with a total capital deployment capacity of up to CHF 22 billion until the year 2030. In order to ignite further growth, we will deploy this capital strategically, focusing on growth as well as shareholder returns. Despite our growth investments, we remain committed to a rebased progressive dividend and returning substantial value to our shareholders. Including this year, we will return a total of CHF 7 billion until year 2030, corresponding to a payout ratio of approximately 50% per year. An additional CHF 4 billion to CHF 6 billion coming from proceeds of larger divestments or available debt capacity could be deployed. These funds will be used for large strategic M&A opportunities or to opportunistically execute share buybacks in the case of excess cash. We believe that our growth-focused capital allocation will further accelerate profitable growth while delivering attractive shareholder returns. And with that, I'm now pleased to hand it back over to Miljan.
Miljan Gutovic: Thank you, Steffen. As you know, we launched our NextGen Growth strategy in March, to be precise, 28th of March. Let's take this opportunity to look more closely at what Holcim is today. After the spin-off of North America, we are still one of the leading building materials companies in the world. As you can see here, we are in 45 highly attractive markets split between 3 regions. We are market leaders where we operate and well diversified geographically across our regions. And Holcim is indeed best positioned to benefit from the powerful megatrends shaping the future of construction from investment in sustainability and local infrastructure packages like in Germany, to population growth and urbanization, all the way to increasing demand for energy-efficient refurbishment. With our NextGen Growth 2030, we will be delivering superior performance and margin expansion centered on 5 key drivers. We are scaling up our sustainable offering powered by premium brands. We are accelerating initiatives for decarbonization and circular construction, driving profitable growth. A key part of NextGen Growth 2030 is expanding high-value building solutions. As you are aware, we do have an impeccable track record of value-accretive M&A with a focus on the most attractive markets and most attractive business segments. And all of this is driven by our deeply embedded performance culture with more than 450 empowered and engaged P&L leaders. Let's look more closely at some of these drivers. Customer demand for our premium brands, ECOPact and ECOPlanet continues to grow, as you can see on this slide. These are being used across all our footprint in large-scale projects like Zuha Islands in the UAE, which is an artificial island with 2.5 kilometers of beachfront housing that is using ECOPact and also the HS2 rail network infrastructure project in EU to connect Birmingham and London, which is using ECOPlanet. The same is the case with our ECOCycle technology that is being used to recycle construction demolition materials and put it back into our products. It's being used, for example, at Wood Wharf in London, a large urban regeneration project that took concrete from a decommissioned marine dock and recycled it in improving the sustainability profile by 30% versus traditional concrete. As well as our building materials brands, we provide tailor-made and fully integrated end-to-end high-value building solutions. We are offering solutions from foundation and flooring to walling and roofing right across the building value chain. And this is what it means to be the leading partner for sustainable construction from low carbon and circular construction to energy efficiency across a building's life cycle with our system and specification selling and premium brands. We can see this in action in Europe's largest urban regeneration project, the Ellinikon in Athens. This is a massive project of around EUR 8 billion, where Holcim has the world's first EPD certified ready-mix concrete plant right in the middle of the site and where we are delivering the full range of Holcim's premium brands from ECOPact all the way to ZinCo green roofing system. Another key driver of our NextGen Growth strategy is our highly effective M&A strategy. We closed another 10 value-accretive acquisitions since the start of the year, 4 to strengthen in building materials and 6 in high-value building solutions. As you can see from this slide, the pace actually accelerated in Q2. We also closed the divestment of Karbala, our plant in Iraq. So now what about the guidance for the full year 2025? We will deliver net sales and recurring EBIT growth in line with our NextGen Growth 2030 targets, which we presented to you in March. This includes 3% to 5% net sales growth in local currency, over- proportional growth in EBIT from 6% to 10% also in local currency. I should say this excludes large M&A in both cases. Also recurring EBIT margin of above 18% and free cash flow before leases of around CHF 2 billion. We're also committing to 20-plus percent growth in recycled construction and demolition materials. As we -- now to the questions, we will leave you this slide up as a reminder of our NextGen Growth 2030 targets. Bernd, please open up the floor to questions.
Bernd Pomrehn: Thank you, Miljan. Operator, can you please repeat the technical instructions?
Operator: [Operator Instructions].
Bernd Pomrehn: The first one on the line is Luis Prieto from Kepler Cheuvreux.
Luis Prieto: I had two related questions. The first one is, if you would be able to break down the organic growth building block of your H1 recurring EBIT bridge between price over cost and volume. And the second question, again, related to this, within this price over cost, what roughly could be the split between price increases, cost inflation moderation and the increase in the share of sustainable products within your mix?
Miljan Gutovic: Luis, thank you for joining. And of course, thank you for your question. I'll ask Steffen to go in depth, but I just want to make a statement when it comes to price of the cost. We are very, very proud of our achievements on this front. Q2 this year will be the 14th consecutive quarter of positive price over cost. Steffen, would you like to go into the details?
Steffen Kindler: Yes. So look, Luis, the impact -- we usually don't break this out. We don't talk about volumes and sales separately. But just to give you a bit of a feeling of how this shaped out in the first half. So volumes overall had a bit of a negative impact. Pricing had positive impact, way oversetting the volume. Now we have still positive price over cost, driven by low to mid-single-digit pricing, rather low single digit on average in the first half. But then also on the cost side, we have made good progress on some of our cost items, for example, distribution or we've made good progress in support process costs. So this has helped to drive price over cost. Another impact on the margin and on the EBIT in the first half year was the FX headwinds, as you have seen, we had stronger FX headwinds in the higher profit countries. And so I would say this altogether led to a very, very positive double-digit increase in recurring EBIT, driven by price and very good management of costs with a bit of a headwind on our FX side.
Bernd Pomrehn: The next one the line is Pujarini Ghosh from Bernstein.
Pujarini Ghosh: So just to confirm on the pricing, could you give us an indication of how we should expect it to progress in the second half? And in terms of your full year guidance for the year, the EBIT growth range of 6% to 10% looks a bit wide. So could you talk about the different moving parts and uncertainties that could swing the results to either end. And my second question is on the premiumization that you've talked about and the move to the low-carbon products. And in the CMD also, you had highlighted the excellent price premium that you can get from these products. So what are you seeing on the ground at the moment in terms of the price premium potential for these products?
Miljan Gutovic: Pujarini, thank you for your question. Thank you for joining. On pricing this year, we will see between low to mid-single digits, and we are not expecting anything in H2. What we will start doing in October and November, we will start preparing for 2026 price increases. Regarding the full year guidance, well, whatever we do in this business, we want to overachieve. So if our net sales growth is 3%, we want to achieve over-proportional growth in our EBIT of 6%. And this is why we have this range between 6% and 10%. And I can assure you that we are always aiming to go one step ahead. On the premium pricing, I did talk, I think, even with you during our Capital Market Day, we do have a modest price premium on these products, ECOPlanet and ECOPact. However, due to our production know-how, due to our formulation know-how, these products, we are able to reduce the cost. And that's why you are seeing this nice margin expansion, especially this is the case in Europe, where we are making significant penetration in this area.
Bernd Pomrehn: The next one on the line is Ephrem Ravi from Citigroup.
Ephrem Ravi: Two questions. First, you have recently entered a few new markets like in LatAm, Peru and Guatemala. As a strategy, would you want to be top 2 in these markets in building products as you have been in other markets? For example, in Peru, now you're there, would you want to have a cement or aggregate capacity? I think Peru is about 15 million tonnes and probably too large to be supplied just by imports. So that's the first question. Secondly, it looks like the growth in ECOCycle and ECOPact is much faster than ECOPlanet. Is there something we should read into that? Like are you preparing the ground for zero-carbon cement when it comes online after the CCUS projects start in a few quarters and hence, focusing more on downstream products in the cement value chain than pure cement?
Miljan Gutovic: Ephrem, thank you for joining. Thank you for your questions. I'll start on the LatAm. Of course, yes, you're right, we entered Guatemala and Peru. Guatemala is a very attractive market, one of the largest construction spends in Latin America. And with this acquisition, we are able to provide foundation for the future growth. And to answer simply, Ephrem, we will be looking at all the opportunities from building materials to building solutions, including Disensa, what I believe can accelerate our growth in these new markets. We have entered, as I said, Guatemala and Peru. We have concluded another acquisition in Peru this year in H1. So we will be scaling these markets as we see great opportunities for over- proportional growth. And also keep in mind, these markets have very high EBIT margins. On your question regarding ECOPlanet, I wouldn't read into it. We are getting great momentum. Obviously, ECOPlanet, that we are talking about larger size, it's low-carbon cement. What you will see in the next 6 to 12 months, you will see us scaling up production footprint in these new and innovative supplementary cementitious materials. We have started, for instance, calcined clay already 4 years ago in France and Spain. Now we are doing the same in North Africa, in LatAm and some other parts of Europe. For instance, last week, I was on my road trip visiting some of our markets, and I visited Czech Republic. This is a great example where we are commissioning a new building, new calcined clay plant that will be commissioned in H1. This will provide the boost in our ECOPlanet sales in these markets.
Bernd Pomrehn: The next question comes from Yassine Touahri from On Field Investment Research. I think we try with the next one. The next one is Tom Zhang from Barclays.
Tom Zhang: Two as well for me. Maybe the first one, just on Mexico. I suppose it's a little bit of a flown in the market. I understand there's been some delays in infrastructure projects. Maybe you could just talk through the dynamics in that market and how confident you are that, that can kind of come back in the second half? And then the second question, maybe for you, Steffen. Just looking at the balance sheet, if we assume at least another CHF 1.8 billion of free cash in the second half, in line with your guidance, maybe a little bit leases. I'm still getting net debt sort of well below the CHF 4 billion mark, so with a comfortable amount of headroom below even the CHF 4.4 billion that you're guiding to. Can you just remind us if there is any other moving parts or CHF 4.4 billion number just reflects a lot of conservatism? And does that extra headroom potentially mean there's some space for additional shareholder returns already this year?
Miljan Gutovic: Tom, thank you for joining, and thank you for your questions. I'll focus on Mexico, then Steffen can take over the second question. So Tom, as you know, we had a new administration in Mexico, they've been in power more than a year now. They have a very clear and comprehensive road map regarding the future of Mexico in the next 5 years. The President Claudia wants to make Mexico in top 10 economies globally. As a result of that, they will heavily invest in the more than 100 technical hubs. They are making heavy investments in infrastructure, especially focusing on energy, water and rail and road. And I don't think there was a slowdown delay in the projects. Last year, some of these main projects have finished. And now the next set of the project is about to start and some of these have started. Just to name, we are currently working on supplying the water viaduct in Tijuana. We are looking at a few massive projects that will start in H2 on the rail side. Just one example is the government wants to build 5,000 kilometers of rail network in the next 5 years. And Switzerland, currently, the whole, and you know Switzerland is well connected when it comes to rail. The network is 6,000 kilometers. So I think pipeline is full, and we will see this accelerating in end of Q3 and then forward in Q4. Just one more topic on Mexico. There is a significant shortage of residential in Mexico. And part of this road map for Mexico in 5 years is to reduce this shortage by building 1.2 million to 1.5 million homes. We have seen construction has started on 180,000 homes. This will further boost our -- accelerate our sales in H2. I'll stop here and hand it over to Steffen.
Steffen Kindler: Tom, thanks for your question. So first of all, look, we remind you, we guided this net debt leverage and the net financial debt exactly at these marks at the Capital Markets Day. Now we improved by saying it's going to be below. And please note, it is without major M&A. So this is before bolt-ons and major divestments. But if you do the math, if you go down the math a little bit, we had CHF 5.6 billion net financial debt in the first half. You assume -- as you did, you said you assume CHF 1.8 billion for free cash flow, that's good. And you have some further leakage with Jupiter, dividends to minorities, the lease additions, some foreign exchange, some other items, which will get you comfortably, I agree with you, comfortably to the range that we guided here. And we leave ourselves also a bit of flexibility for further bolt-on acquisitions in the second half of this year.
Bernd Pomrehn: The next one in the line is Elodie Rall with JPMorgan.
Elodie Yvonne Daniele Rall: Sorry to come back on guidance, but just wanted to follow up there on your expectation for H2. You've delivered 10.8% recurring local currency EBIT growth in H1. You're guiding for 6% to 10% for the year. So does that mean you expect a slowdown in H2 growth in recurring local currency? And why -- and where would that come from? And if you could give us a bit of color on that with regard to the exit rate, so the performance at the end of Q2 and in particular, July trends, so we can have a bit of flavor. And my second question is on volumes in Europe. I presume they were still negative in H1. Do you see them turning positive in H2? And my last question is on this Nigeria divestment, sorry, if you could give us an update given that we haven't heard much on that, I believe.
Miljan Gutovic: Elodie, thank you for your question. Regarding the guidance, Elodie, we already provided the guidance in March, end of March. So we wanted to leave it as it is. We are very positive about outlook in H2, and we believe that it will be equally or even better than H1. So we have decided to leave the guidance as it was presented to you in March. I can assure you we are always aiming to do the best and overachieve. Regarding the Nigeria question, process is running. We have some positive news last few weeks. We expect to close this in H2. At the moment, I can't tell you if it's going to be end of Q3 or end of Q4. But so far, no negative surprises. And the teams have been really working hard on this deal. On the volumes in Europe, I would like to remain modest. I would predict that H2 will be more or less flattish or there could be some upsides. We are seeing recovery in some markets, especially in West Europe that have been soft. But outlook is more or less flattish for H2. I would be conservative.
Bernd Pomrehn: The next one on the line is Martin Husler from ZKB.
Martin Hüsler: I have two questions. Maybe first on the growth guidance of 3% to 5%. What should we expect for the second half? Is the improvement against the first half or the acceleration rather driven by organic? Or do we expect higher bolt-on contributions? That's the first question.
Miljan Gutovic: Martin, thank you for joining, and thank you for the question. Regarding growth 3% to 5%, I would expect accelerated momentum in H2 versus H1. And on M&A side, we are expecting more or less a similar trend in H2. We do have a very healthy pipeline of projects across all our geographies, and we will be able in position to close some of these projects by the end of the year.
Bernd Pomrehn: Any additional question, Martin?
Martin Hüsler: Yes. The second one, maybe an add-on on the European question just asked before. If I look at Q2 stand-alone versus Q1, it looks like the EBIT growth came down a bit even though, let's say, the building season really kicked in. And I was just wondering what was the driver of this trend? And maybe if you could also share the biggest country trends within Europe, maybe H1, but also outlook for the second half of the year.
Miljan Gutovic: Yes, certainly, Martin. I think more or less, Q1 and Q2 were pretty much close. What we saw in Q2 is significant expansion in our margins in Europe. And as I said in my presentation, this is clearly driven by our focus on sustainable offering by accelerating our initiatives in decarbonization, in circular construction and also all these value-accretive M&As. So if I look at the Europe, the trend, I think Germany has been soft this year when it comes to construction activity, but our team is still managing to improve the bottom line. I would expect more accelerated momentum in Germany in 2026 and probably more flattish performance in H2. What is doing really well is Eastern Europe, then countries like Spain, Italy, Greece. This is where we are seeing a really, really strong momentum. I mean you saw from our presentation, this project in Athens, Ellinikon, this is great. We are doing not one cell, but many cells where we are supplying a full range of end-to-end solutions from basement all the way now to ZinCo green roofing systems. So momentum in Europe, I believe, if I compare it to H1 will be -- I'm more optimistic about H2, let me put it this way.
Bernd Pomrehn: The next one on the line is Cedar Ekblom from Morgan Stanley.
Cedar Ekblom: I've just got a follow-up question on your M&A landscape and agenda. If I look at the bolt-ons that you did, 8 of them are in Europe. And you've spoken quite a lot about the opportunity in LatAm and how you want to grow Disensa, et cetera. But it does look like, at least for now, that you are sort of spending more in Europe or at least more deals in Europe. So I'd just like to hear a little bit about how you think about capital allocation and bolt-on opportunities between the various regions. Some investors I talked to sort of doubt the opportunity in LatAm and worried that the market backdrop there is a little bit less certain. Maybe you could just talk about your perspective on LatAm relative to Europe. And then the other question is just around the potential for larger deals. Obviously, when you look at the U.S. market in Holcim previous form, there were lots of sort of single big ticket deals that could be done of countrywide businesses. And when we look at the landscape today with your current portfolio, you have maybe country champions in specific regions, but you don't necessarily have some obvious big interregional champions like a big target in Europe or a big target in LatAm. So maybe you could talk a little bit about how you think about larger M&A and how deep the list of targets there might be? What kind of assets you would be looking at? I think that would be helpful because clearly, there's a lot of cash being thrown off from this business and it can't all be allocated through bolt-ons.
Miljan Gutovic: Cedar, thank you for your question. Regarding the M&A, I'll just make a general statement, and then I'll go into details on LatAm, Europe. Regarding M&A, here, we are exercising strict discipline when it comes to the deal. We are buying companies that make sense to us strategically and also the companies that are good fit to our strategy. I can assure you that we have a very healthy pipeline of the projects, equally good pipeline in LatAm, also in Europe, but also in some other parts of our scope in Asia, Middle East and Africa. The only difference why you are seeing more momentum in Europe is because we really started focusing on bolt-ons in LatAm as of last year. Remember, at the end of December last year, we bought 11 companies in Latin America, 5 we bought in 2024. So I'm very happy with the momentum we have, and we will see some of these deals in H2 coming through. Regarding your question on the large acquisitions, obviously, we are constantly screening our landscape from walling and flooring solution companies all the way to roofing. And we believe there are some very attractive markets. They are regional champions, as you said, but these companies would be a very nice fit to our existing portfolio, and they would be a very nice add-on to our NextGen Growth 2030 strategy. So regarding capital allocation on bolt-ons between LatAm and Europe, we will always do what's best for the company, what makes the best financial sense regardless of the country, region. So that would be our starting point. But I'm confident that we will have a strong momentum on M&A front in second half of this year.
Bernd Pomrehn: The next one in the line is Harry Dow from Rothschild.
Harry Dow: I think I've got three questions, if possible. Firstly, just on the sales growth by product line. I noticed in the Building Materials segment, so cement and aggregates, that was really providing the growth, whereas Building Solutions still saw some negative organic. I wonder if you could give us some color on the moving parts to that, just ready-mix concrete volumes down, which I know is in the Building Solutions? Or is that something to do with pricing in other building products? And then on Latin America, you obviously mentioned the Disensa store network increasing by 170 stores in the first half. I wonder if you could help us on the contribution that that's brought in the first half to top line growth. And obviously, maybe a bit more around what you think the contribution might be as you get towards that 2030 target. It's quite a lot higher than today. And then just finally, a bit longer term on -- you mentioned net zero cement and the projects there. There's quite a lot of projects that are slated to start sort of capturing on 2030. There's some other industry participants kind of calling out maybe some permitting challenges and negotiation with the government, et cetera. Are you still committed to the original time line of all those projects to start capturing kind of in the late 2020s, early 2030s?
Miljan Gutovic: Harry, thank you for your question. I'll talk about LatAm, Disensa and net zero, and then I'll hand it over to Steffen to talk about sales growth between Building Solutions and Building Materials. Regarding Disensa, we are not reporting this. But if you remember at the Capital Market Day, we said we have more than 2,000 shops. We want to double, even more than double that in the next 5 years. And just to give you a little bit history on this. This was designed by very smart people. I gave them credit already 3 years ago. They wanted to ensure that we have a secure sales channel of our cement bags. And this was the purpose of Disensa for years, for decades, I should say. Today, we see this a great opportunity to accelerate the growth in our building solutions. And Harry, if you see the scope of the M&As we did in LatAm in the last 1.5 years, we are buying companies that are producing waterproofing, flooring, ceiling products, companies that are active in construction chemicals. And for us, this is an easy synergy because with Disensa, we have a well-established sales channel and buying these companies, we are immediately having sales channel for these newly acquired businesses. When I was in Argentina last year, actually, we signed a company that specializes in mortar or something else. And we closed the deal today. The next morning, these products were available in more than 30 Disensa stores in Argentina. This is the momentum we can achieve with Disensa rollout. So as I said, this is more about commercial approach, about sales approach. And you saw our margins in LatAm. We are talking about 30-plus percent consistently. Disensa plays a major part in this. Regarding net zero, you might have seen we had a groundbreaking ceremony in Milaki. I attended, we had even Prime Minister coming. We are committed to this. We are going through the process. There are always some potential risks. But from our side, we will be doing what needs to be done to make it happen in the next 4, 5 years. Now we are seeing momentum on the other side, push from EU to develop transport infrastructure for CO2, to develop additional storage field. And obviously, all of this will have a significant impact on accelerating these projects.
Steffen Kindler: Yes. Harry, for your question between the materials and solutions growth, it's really a mixed topic, right? When you look at the countries where we have a higher share of building solutions in our sales, those were the countries that were rather softer in the first half. And other countries we explained, had a very, very good development, were stronger, where those with a lower share of building solutions. So this really explains this diversion we're seeing here. We think this will return to a certain degree. As Miljan explained before, our outlook for the second half is a bit of a recovery also on the top line side. So this will also impact here. It will also impact the mix. What I would also like to remind is that in Building Solutions, we had a very, very good growth of EBIT of 27% in the second quarter. We grew margin in almost every country here. So the EBIT development here is again very, very good, which makes us confident that we're on the right track.
Bernd Pomrehn: The next one is Jon Bell from Deutsche Bank. He sent us two questions, probably for Miljan. The first one, you referred to signs of recovery in European residential markets. Can you give us more color on the lead indicators you use most and which countries are seeing the best improvement? That's the first question. And the second one is, can you spell out the benefits of the Disensa network and the targets you have for new stores?
Miljan Gutovic: Jon, thank you for your question. I think on Disensa, I have already answered pretty much. I gave a comprehensive overview how does it work and how does it fit in our long-term strategy. So now for Disensa, for me, it's all about accelerating. I would like to see hundreds of these stores opening every half a year. And at the same time, with our boost on M&A front, especially in Building Solutions, we will be able to provide one-stop shop solution to our customers through Disensa. Jon, regarding -- we are seeing in our business. We do have in some countries, product systems that we supply in residential. Eastern Europe is looking strong. We are seeing good signs in Southern Europe. Probably in Germany, the number of permitting is becoming more and more healthier, but I think more will come in H1 next year. So France still remains soft as well as U.K. But in U.K., there has been announcements by the government. They are committing to put additional funding to reduce the shortage of the residential housing.
Bernd Pomrehn: Then Paul Roger from BNP Paribas is also on the road. He also sent us two questions. The first one is on LatAm. It looks like you are strongly outperforming peers in the region. I can confirm this. Is this because of countries like Ecuador and Argentina where others aren't present? Or are you also outperforming Mexico? Linked to that, can you put some numbers on how you did in Mexico, specifically in the second quarter?
Miljan Gutovic: Thank you, Paul, for your question. And we don't report Mexico individually, but I can assure you that we are seeing margins in Mexico, which are well above average of LatAm. H1 Mexico was a good market for us. We have seen margin improvement and EBIT growth. So very, very happy with Mexico. And I believe H2 will even be stronger. I mentioned already all these projects in energy, in water, in rail and road that are coming up and also the residential recovery driven by government incentives to reduce the shortage of housing in Mexico. So I don't want to go into details, report the margins, but maybe the starting point is that in Mexico, our margins are well above the average with what we have in Latin America.
Bernd Pomrehn: Perfect. And the second question from Paul is regarding building envelope solutions. So that's Slide 22. So there, he's asking, there's still quite a lot of gray, so untouched applications so far. Is the ambition to plug the gaps and offer the full range of solutions in all your major markets? Or will you be very selective?
Miljan Gutovic: Well, Paul, there are opportunities, and this is the whole point of us focusing as a key priority in our NextGen Growth strategy to accelerate momentum and growth in high-value building solutions. And yes, there are opportunities. We are looking at them. At the end of the day, as I said, our goal is to be end-to-end supplier to our customers on these big projects. As I mentioned, at Ellinikon, we started with ECOPact, where we have secured probably more than 2 million cubic meters in next few years. And then we are moving to other solutions, media solutions, architectural solutions. And more recently, we are supplying ZinCo green roofing on this mega project in Athens. So we will continue to work on this. The goal is indeed, as I said, end-to-end solution. Instead of selling one product on the job site, we want to sell 5, 10 products. And this is the key component of our strategy to accelerate high-value building solutions.
Bernd Pomrehn: We have again one analyst in the line. It's Marcus Cole from UBS.
Marcus Cole: I've got two as well. The first one is just to be clear on the '25 sales, you're implying volume growth will accelerate in H2 outside of Europe? And the second one is just on any color you can give on regional price cost in the second half.
Miljan Gutovic: I'll hand it over to Steffen on the price over cost. Regarding volumes, we do not report volumes, Marcus, but thank you for the question. In fact, we expect a much better momentum in H2 in Europe. And I have already discussed some of the points what we are seeing, infrastructure pipeline, recovery in residential and so on.
Steffen Kindler: Look, for price over cost, when you look at price over cost on a group level, you will see that we still have quite a significant price over cost as we had in the previous quarters and years. The impact of pricing is probably low to mid-single digit. But what we also do always here at Holcim, we work on our efficiencies, right? So big cost bucket is, for example, distribution, where we made good progress, support process costs rather than the fixed cost area where we made good progress. So this is true for all the regions. Now regionally, there are slight differences. You asked per region. There are regions where we have a bit of higher pricing. I would mention EMEA and regions where pricing is not as high, maybe in Western Europe. But overall, the algorithm is true for all our regions. There's positive price over cost in all the regions that we operate.
Bernd Pomrehn: We try again with Yassine Touahri from On Field.
Yassine Touahri: Yes. Sorry for the technical issue earlier. I think I would have one question. Have you started to think about the magnitude of price increases that you will announce in 2026 in Europe? And I think the background of my question that it looks like independent importers could create a little bit of a risk on pricing given the limited protection from the carbon border adjustment mechanism, at least in 2026. It's already visible in the U.K. where we can see cement prices a little bit under pressure. But at the same time, I understand that you've got an introduction of a new historical activity level and stricter emission baseline for the cement plant, which should bring down the level of allowance? So in this context, do you see bigger price increase in Europe in 2026 than in 2025? I would love to understand how you're thinking about it.
Miljan Gutovic: Thank you for the question, Yassine. Look, maybe it's too early to talk about price increases at this stage. Yes, you are 100% correct. We will have the revision of EU ETS. We are entering into this Phase 4, which means there will be adjustments on the benchmark. And also, they will be phasing out of the allowances starting in 2026 with 2-point-something percent. And all of this, obviously, the teams are working on this. But at the moment, we really do not know what the new benchmark will be. That will come later in the year. So if you're asking me today, I believe price increases next year will be higher than this year. But Yassine, it's really too early to discuss this until we understand the full impact of the new EU ETS Phase 4.
Bernd Pomrehn: Perfect. All right. So this was our last question for today. Thank you so much for joining again. If you have any further questions, please don't hesitate to reach out to the Investor Relations team. We are more than happy to help. And with this, I turn it back to Miljan for some closing remarks.
Miljan Gutovic: So once again, thank you all. Thank you very much for joining us today. We are very happy to share these results with you. H1 was a strong -- we achieved strong results, and we are looking forward to H2 with what's going on in the industry, what we have in the pipeline. I can tell you, Team Holcim is very excited about H2. Thank you.